Operator: Thank you for standing by and welcome to the AB Second Quarter 2017 Earnings Review. [Operator Instructions] As a reminder this conference is being recorded and will be available for replay for one week. I would now like to turn the conference over to the host for this call, the Director of Investor Relations for AB, Ms. Andrea Prochniak. Please go ahead.
Andrea Prochniak: Thank you, Kim. Hello and welcome to our second quarter 2017 earnings review. This conference call is being webcast and accompanied by a slide presentation that is posted in the Investor Relations section of our website, www.abglobal.com. Seth Bernstein, our new President and CEO; John Weisenseel, our CFO; and Jim Gingrich, our COO will present our financial results and take questions after our prepared remarks. Some of the information we present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. So I'd like to point out the Safe Harbor language on Slide 1 of our presentation. You can also find our Safe Harbor language in the MD&A of our second quarter 2017 Form 10-Q which we filed this morning. Under Regulation FD, management may only address questions of a material nature from the investment community in a public forum, so please ask all such questions during this call. We also live tweeting today's earnings call. You can follow us on Twitter using our handle @AB_insights. Now I’ll turn it over to Seth.
Seth Bernstein: Good morning everyone and thank you for joining us. I'm happy to be here with you today hosting my first AB earnings call. Clearly I've joined AB at an exciting time. The strategy to firm has pursued over the past several years is both compelling and bearing fruit, which you can see in the results so far this year. Investment performance is strong and getting better across a diverse product suite. Active net inflows were $6.6 billion in the second quarter and $8.5 billion for the year-to-date, which equates to 4% annualized organic growth rate. Second quarter adjusted revenues grew at nearly twice the pace of expenses in the second quarter allowing us to increase operating income by 20% and expand our margins by 270 basis points year on year. And we grew adjusted earnings per unit by 26% year on year to $0.49. These are great results that any CEO would welcome reflecting hard work and commitment of AB's 3,400 plus employees around the world. I'm proud they're now my colleagues and I'm excited to do my part going forward to build upon this strong momentum. So let's get to the results. Beginning with the firm-wide overview on Slide 3, total gross sales for the quarter were more than $20 billion, up 11% from last year’s second quarter and 7% from the first quarter of this year and our highest since the second quarter of 2015. Net inflows of $4.7 billion represents the $6.6 billion in active inflows I just mentioned, partly offset by $1.9 billion of passive outflows. This is obviously a huge improvement from net outflows of $200 million in the first quarter when active inflows of $1.9 billion were more than offset by passive outflows of 2.1 billion. Period-end average AUM were up versus prior periods on the back of strong market appreciation during the quarter. Moving to our quarterly flow breakout by channel on Slide 4, each of our client channels contributed to this quarter's positive flow picture. I'd like to begin with retail on the top right, which is our most significant channel by revenue. Retail gross sales were at record levels again this quarter, fueled largely by ongoing strengthen in Asia ex-Japan fixed income, where we have a preeminent franchise. Net inflows of $3.2 billion doubled sequentially. Our institutional channel rebounded from last quarter's historically low activity levels, that's the bottom left. Gross sales of 4 billion rose 60% sequentially and net inflows of $1.2 billion returned to positive territory. For private wealth on the bottom right, gross sales of 2.9 billion were up 21% year over year and flat sequentially. Net inflows of $300 million compared with $100 million last quarter and $200 million one year ago. Now, I’m discuss AB's investment performance during the quarter with some adjustments to our presentation which begins on Slide 5. Here you'll see that we're now showing a five quarter trend in percentage of outperforming assets to quarter end for the one, three and five year periods for both fixed income and equities. A few things are clear from this slide, first, the long-term investment performance of our fixed income team is just outstanding with excellent three and five year track record. Second, the investment performance of our equity service is not only quite solid but trending upward. Our one, three, and five year performance numbers are all better than a year ago. On Slide 6 and 7, we now show performance and ranking in the respective Morningstar categories for an array of US 40 Act and [indiscernible] funds that represent large or focused strategies for us. Slide 6 underscores the strength of our retail fixed income platform. All of our strategies on this slide rank in the top two quartiles for the three-year period and six are top decile. On Slide 7, we show how competitive our equity investment performance has become across the board. Top decile performers from multiple periods include US thematic and emerging markets growth in Lux and US large cap growth in 40 Act. So I’m singling out equities and fixed income here. I'll add that our multi asset and alternative strategies are also doing very well. Our Five Star rated emerging markets multi-asset Lux fund is ranked top quartile since its June 2011 inception, gross are $1 billion for the year-to-date period. And our all market income fund which will hit its three year anniversary in December is ranked in the first percentile since conception performance. [indiscernible] reputation, now that I'm here I'd have to say I'm quite impressed by the caliber of our investment teams across all asset classes. Now let's talk about client channels beginning with retail on Slide 8. There are two attributes of the AB’s retail business I want to highlight. One, a leading position we enjoy in Asia ex-Japan, a market I believe will continue to enjoy the fastest secular growth in the world. And two, AB's global product set which is much broader and more competitive than I realized. These two factors have been critical drivers to our impressive retail momentum. Year-to-date gross sales of 27 billion are up more than $8 billion or 45% versus last year's first half. And net flows have been positive every month this year totaling $4.8 billion for year to date compared to last year's 1.7 billion. As you can see from the top left chart, we've been a huge beneficiary of the rising tide in Asia ex-Japan fixed income. Industry wide retail bond fund sales are up more than $10 billion year to date through May or nearly 70% compared to the same period in 2016. In global high yield, sales were up more than 120%, but unlike where we were five years ago, Asia fixed income is not our only retail growth story. We’ve built a significant global multi-asset in the past two years. In the second quarter, gross sales of our discretionary investment management and emerging market’s multi-asset funds each doubled sequentially and were two of our largest contributors total retail sales for the quarter. Year-to-date they brought in a combined $2 billion in net flows second only to global high yield. Our separately managed, I'm sorry, our US separately managed account business has also grown quickly, thanks to the strength of our municipal bond activities. Assets are nearing $10 billion. Clients wouldn't be putting their confidence in AB if it weren't for the years we've spent investing to broaden our product set for clients not to mention both building and restoring our long-term track record. As the bottom left chart illustrates AB's US Four and Five Star funds as a percentage of all our rated funds has grown from 28% in 2009 to 53% today. By assets it's 85%. The move in Lux is even more impressive. Our percentage of Four and Five Star funds has more than doubled to 74% and represents 94% of AB’s total weighted asset. So it's no surprise that these top ranked funds are among the highest in their categories by net flows. Now moving onto institutional on Slide 9. After a very slow start to be year, we were pleased to see both fundings and new pipeline additions increase in the second quarter. Every region contributed to the 60% sequential increase in gross sales and we grew our pipeline by $400 million or 10% in the quarter, that's the chart on the top left. Even more important, the estimated fee base of our pipeline increased by 26% the effect of more adverse and a higher fee additions during the quarter. Today, the average fee rate on our pipeline is the highest it's been in years. As you can see from the bottom left chart, at quarter end, 82% 82% of our pipeline assets were in equity, alternatives and multi-asset strategies versus 18% in fixed income and passive. In fact, equities and alternatives account for eight of our ten largest mandates in our pipeline, including four commercial real estate debt funding commitments totaling more than $800 million. By delivering on our strategy to launch new products that speak to our clients and build strong track records across asset classes, we've been regaining credibility and momentum with institutional clients and consultants. Just look at the notable pipeline ads on the right side of this slide. Of our five largest strategies three of them commercial real estate debt, select US equity and global strategic core equity are services we couldn't even offer clients five or even six years ago. In equities, our RFP activities up 24% so far this year from the first half of 2016. Of particular note, emerging markets debt and equity RFPs are up a combined 62%. But let me be clear there are still considerable challenges in the institutional business for us and the industry at large. Fundings remain well below last year's levels, fee pressures continue to be intense and both the migration of active to passive and the trend of more plans taking active management in-house continues. But even in this environment, I feel very good about AB’s platform and competitive position. Now I'd like to talk about private wealth management on Slide 10. I know this industry very well and I'm acutely aware of how fragmented and commoditized it can be. To stand out private wealth managers need to be distinctively positioned in the market and implement investment solutions differently. As a long time Bernstein private client, I’ve long appreciated the breath and power of the solutions approach and the firm's ability to excel in areas like portfolio tax management. But I didn't fully appreciate however is what this business has accomplished with its strategy of introducing up-market services to strengthen the solutions model, to build upon existing client relationships and form new ones and open up parts the market were Bernstein hadn’t historically fully participated. These targeted services are the deepest expression of active management. They leverage our skill in managing active highly concentrated strategies and can help us optimize outcomes in a client's overall portfolio. The bar chart on the left shows how quickly targeted services commitments are growing. They're up 50% year on year in the second quarter of this year to $5.5 billion and year to date commitments have already exceeded our full-year 2016 total. The role the strategy plays in the momentum of our overall business is unmistakable. Total private wealth gross sales in the first half of this year have been our highest since 2008. And our average new relationship size has grown 12% versus last year. As competitive and regulatory pressures increase, we enjoy a reputation among our clients as of a long time fiduciary and a provider of differentiated solutions. That is a very good place to be. I'll wrap up our businesses with the sell side on Slide 11. Unlike the private wealth business, I had no experience with Bernstein Research Services before I came to AB. All I knew was it stood well above the crowd in the quality and differentiation of its research product. Now that I'm here, I'm learning there's much more to the story. Yes, Bernstein's calling card is search, but over the years this business has also built a leading US agency trading platform and broadened its global presence in both research and trading. Even as others have retrenched or retreated entirely. As a result, Bernstein is well positioned today. We have a diversified global business and a unique product at a time where competition for research dollars is intensifying in both the US and Europe post method implementation. In these challenging market conditions, Bernstein's revenues declined in the quarter, but that's no surprise since we derived two thirds of our revenue from the US where both trading volumes and volatility have been trending toward new lows. Indeed the VIX actually hit a ten-year low in the second quarter. These conditions underscore the importance of our strategy of investing to remain a leader in research quality. Five new analysts launched industry coverage for us in the second quarter, two each in the US and Europe, and one in Asia. And we've hired two new analysts here in the US to broaden our macro offering, an economist and portfolio strategist. We've maintained our top rankings in independent industry surveys. The latest US survey named us Number One for both quality of analyst service and greatest knowledge of companies and industries, in each case for the 14th year in the row. And for the electronic trading capabilities we built have put Bernstein in the Number One spot for both electronic trading quality and electronic trading service for the third straight year. Finally, this quarter brought more proof to Bernstein’s strategy to globalize our research and trading capabilities is the right one. We generated double-digit year-on-year revenue growth in Asia and we ranked Number One for providing alpha generating ideas and insights and Number Two for highest quality analyst service in an annual independent survey in Europe. Slide 12 summarizes the progress we've made in the quarter in executing our long-term growth strategy. I feel fortunate to have inherited an organization that's on the right track and gaining momentum. And each day I grow more confident in AB’s strategy. We're demonstrating every day our ability to create and manage investment services both within and across asset classes that delivers the differentiated returns [indiscernible] clients want and they can't replicate. We've done the heavy lifting in building out a suite of competitive services across multi-asset, alternatives, equities and fixed income. Now we’re intensifying our focus on engaging clients and consultants. Finally, while improving investment performance and delivering services that speak to clients will drive stronger net flows, increasing profitability necessitates a continuous and rigorous focus on expense management in a world of low returns and constant change. By continually finding new efficiencies, we can enhance our competitive position and more important deliver a greater share of the output we generate to our client, that's always our main priority. These are the objectives that AB is focused on for years in the areas where I know I can take us further. It's an honor to be part of AB and I'm looking forward to seeing what we can accomplish from here. Now I'll turn it over to John for a discussion of our financial results. John?
John Weisenseel: Thank you Seth. Let's start with the GAAP income statement on Slide 14. Second quarter GAAP net revenues of 802 million increased 10% from the prior-year period. Operating income of 163 million increased 14% and 18.1% operating margin was 90 basis points lower. GAAP EPU of $0.43 compares to $0.40 in the second quarter of 2016. As always, I’ll focus our remarks from here on our adjusted results which remove the effect of certain items that are not considered part of our core operating business. We based our distribution to unitholders upon our adjusted results which we provide in addition to and not a substitute for our GAAP results. Our standard GAAP reporting and a reconciliation of GAAP to adjusted results are in our presentations appendix, press release and 10-Q. Our adjusted financial highlights are on Slide 15. Compared to the same prior-year period, second quarter revenues of 649 million increased 7%, operating income of 162 million increased 20% and our margin of 25% increased 270 basis points. [indiscernible] to our unit holders $0.49 per unit, up 26% versus the $0.39 for the last year’s second quarter. Higher base and performance fees combined with nearly flat non-compensation expenses primarily drove the improvement. Revenues, operating income and margin all increased from the first quarter due to higher base and performance fees combined with a lower comp ratio for the compensation accrual. We delve into these items in more detail on our adjusted income statement on Slide 16. Beginning with revenues, second quarter net revenues of 649 million increased 7% year on year. The 9% increase in second quarter base fees compared to the same prior-year period is due to higher average AUM across all three distribution channels and higher fee rate realization reflecting a mix shift from lower to higher fee products. Second quarter performance fees of 15 million compared to 1 million in the same prior-year period and resulted from higher performance fees earned on our Luxembourg registered Select Absolute Alpha Fund. This equity long short fund has an annual fee calculation period ending in May and generated approximately 12 million in performance fees in the second quarter of this year but did not generate any performance fees in the same quarter of the prior year as a result of less favorable market conditions. Second quarter revenues for Bernstein Research Services decreased 5% year-over-year due primarily to lower client trading activity in the US and Europe which was only partially offset by higher activity in Asia. A stronger US dollar also contributed marginally to our decline in European revenues. Second quarter net distribution expenses of 11 million compared to 6 million in the same prior-year period and the increase resulted from increased retail fund sales in Asia resulting in higher promotion payments, new placement fees paid for our commercial real estate debt fund and our new onshore emerging Asian income fun launched in Taiwan. Second quarter other revenues of 28 million and interest expense of 6 million both increased by 4 million from the same prior-year period. The increase in other revenue was driven primarily by higher dividends and interest earned on broker dealer investments, while the increase in interest expense resulted from higher interest paid on broker dealer customer balances. Moving to adjusted expenses, all-in, our total first quarter operating, excuse me, all-in, our total second quarter operating expenses of 487 million increased 4% year on year. Total compensation benefits expense increased 4% year on year, with higher severance partially offset by lower incentive compensation. Compensation was 49% of adjusted net revenues for the second quarter of this year compared to 50% for both the same period last year and the first quarter of this year. With year-to-date adjusted revenues of 7%, we believe it was appropriate to reduce the comp ratio in the second quarter rather than wait until later in the year as we've done in the past. The 100 basis point reduction in our comp ratio in the second quarter from the 50% ratio in the first quarter added approximately $0.02 to our second quarter EPU. Currently, we plan to accrue compensation at a 49% ratio for the second half of the year, absent further clarity as to the full year's revenue and compensation requirements for our business. Promotion and servicing expenses declined 2% year on year, driven primarily by lower T&E, but increased 13% sequentially due to an expected seasonal increase in marketing spend for private wealth client meetings and the annual Bernstein Research Strategic Decisions Conference. G&A expenses increased both 1% year on year and sequentially due to higher technology consulting fees. Second quarter operating income of 162 million increased 20% from the prior-year period as revenue growth outpaced expense growth. The second quarter incremental margin versus the prior-year period was approximately 60%, reflecting our continued diligent expense management. Excluding the comp ratio benefit, the incremental margin was 46%. Second quarter operating margin of 25% increased 270 basis point year-on-year or 170 basis points after excluding the 100 basis point benefit gained from the lower comp ratio. Through our efforts to continue to manage our cost base diligently, we identified addition opportunities to further consolidate our New York headquarters and Tokyo office footprints. During the second quarter, we vacate additional office space to market to sublease which resulted in us recording a $21 million real estate charge for GAAP reporting to generate ongoing annualized occupancy savings of 5.5 million beginning in 2018. In addition we plan to vacate an additional floor at our New York headquarters during the third quarter this year to market for sublease. As a result, we expect to record an approximate $17 million real estate charge for GAAP reporting in the third quarter to generate 3.6 million of ongoing annualized occupancy savings also starting in 2018. Our estimates for both the real estate charges and corresponding expense savings described above are based on our best current assumptions of the cost to prepare the properties to market, the length of the marketing periods, market rental rates, broker commissions and subtenant allowances and incentives. We expect the actual total charges eventually were recorded and the related expense savings realized both different from our current estimate as market conditions change over time. You may have noticed that our second quarter adjusted EPU was $0.06 higher than our GAAP EPU, while our adjusted operating income was 1 million lower than our GAAP operating income. These differences are primarily due to the exclusion of the following three items from our adjusted results that are not part of our core or recurring business operations. First, as discussed earlier, we recorded a $21 million real estate charge primarily resulting from vacating an additional floor at our New York headquarters and marketing and for sublease. Second, we recorded a $4 million noncash gain an exchange of software technology we developed for an ownership stake in the third-party provider of financial market data and trading tools. Third, we consolidated certain seed investments for gap reporting which increased operating income by $80 million, but has no effect on net income or EPU. Therefore we deconsolidated the seed investment funds for our adjusted reporting resulting in lower adjusted operating income. All of the non-GAAP adjustments are outlined in the appendix of this presentation. Finally, the second quarter effective tax rate for Alliance Bernstein LP was 6.3% about as expected. We highlight these points and offer sequential quarter comparisons on the next slide of this presentation as well. And with that Jeff, Jim and I are pleased to answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of William Katz from Citigroup. Your line is open.
William Katz: Okay thanks very much, I think its William Katz, but you guys can call me Bill. Thanks for taking the questions. And maybe we start with the discussion on compensation, I appreciate the update on the accrual. And so sort of stepping back, Seth, you may have a little bit more time to sort of understand the business and maybe put it in comparison to your peers. The comp rate is significantly higher than where some of your key peers are and if you adjust for I think the sell side business, I think that that’s probably reasonably true as well. How do you sort of think about that ratio looking out beyond 2017. Is there a meaningful opportunity to sort of normalize that ratio?
Seth Bernstein: Thanks, Bill for the question. I think there is the intention of normalizing that ratio over time. That ratio will normalize with the continuing improvement in investment performance inflows and frankly, our continuing focus on managing our own cost structure. And I think given the breath of different services that we've successfully sold into our client channels this year and the change in improvement in the mix from a revenue perspective, it gave us confidence to actually reduce, we indicated the comp to revenue ratio in the second quarter rather than later in this year for an adjustment, which is what our normal course practice is and we'll continue to do, but maybe I'll just turn to John if there's anything additional to add.
John Weisenseel: Bill, I would just add there that we’ve spoken in the past that we believe there is definitely operating leverage in the business. I think we've demonstrated it this quarter with the high incremental margins that I mentioned during my comments. So as revenues, if they continue to increase, we do hope to, as we have done in previous years, leverage that comp ratio down somewhat. Last year, we came in at 48.5, which was actually down from the prior year. So I think what we're seeing right now is that year-to-date basis, with the revenues up 7%, within the markets higher, our next flows are positive 4.5 billion year-to-date basis, effective fee rate on the portfolio is up 140 basis points, we feel confident at this point in the year and we’ve also accrued, compensation expense is actually up about 33 million or 5.5% on a year-to-date basis. So at this point, we feel very comfortable with lowering the rate at this point in the year. It's just that we'll have to see how the rest of the year pans out. As I said, we expect to accrue the 49% right now for the balance of the year. And as we get into the year and the revenues start to crystallize and we are able to determine what our compensation needs are by business, we’ll see if potentially we can do better than that. But right now, we're looking at 49% for the second half of the year.
William Katz: And then sort of a follow-up, when I look at the institutional business and so I appreciate that things bounced back very nicely and your mandates and et cetera, but when you gave some of the statistics that I think 8 of your 10 largest mandates within the pipeline, where I think commercial real estate, that number was a relatively small number, so I guess that the broader question is, is there an opportunity here to really scale some of this performance or is the targeted services philosophy more limiting in terms of an incremental absolute level of flaws?
Seth Bernstein: No. I think there is additional opportunity to leverage the services. I think the targeted services of course are in the private client segment of the business. But more broadly, institutionally, most of the strategies that are actually in our largest fundings by this year are not in capacity constrained -- significantly capacity constrained services. So in fact, we're seeing broader breath across both fixed income and equities as well as in multi asset and alternatives. So I'm not particularly concerned that we're seeing concentrations in more capacity constrained strategies.
John Weisenseel: Yeah. I would just add Bill, I mean just even to tie your first and second question together, I think we've been pretty transparent that we've been making investments to build out a range of services, including in the alternative space, equities and the like. And the, while private client has been a major piece of helping us build those businesses up, we're seeing increasing traction in the institutional world as well and that's starting to be reflected in the pipeline and in the fee rate that you see in the pipeline.
Operator: Your next question comes from the line of Alex Blostein from Goldman Sachs. Your line is open.
Alex Blostein: Question around MiFID II. Obviously, the deadline is approaching pretty quickly here. So I was wondering if you could spend a minute on how the pricing discussions are going. I know you mentioned they're encouraging, but assuming a kind of flattish volume environment comparable to kind of 2017, how are you guys thinking about the implications for Bernstein revenues heading into 2018?
Seth Bernstein: Thanks. There is no doubt that MiFID II creates an added pressure on the sell side revenues, we believe Bernstein is well positioned in situations where firms are deciding to call their list of research providers. Our research and training capabilities are distinctive and conversations with clients to date so far have suggested that they recognize that value of our offerings and are willing to get -- and are not willing to give it up. So in our view, we may ultimately be a winner, but I think it's too early to draw any conclusions on the topic.
Alex Blostein: And then second question around action the equitable spend, so is there a way I guess to kind of approach that, how should we think about implications for AllianceBernstein ownership by AXA and kind of that structure the way it stands today and I guess more importantly, the assets that you guys are currently managing for AXA and how that could evolve with equitable spend.
Seth Bernstein: Well, as you know, we're in a quiet period. So we can't speak specifically about AXA’s intentions. From our own conversations with them however, they've been very clear from AXA’s perspective that they want to maintain the tenor of the relationship as you probably know that we manage about $120 billion for them, which is I think around a quarter or a little less than a quarter of our total assets, but they constitute, I think, around 5% of our total revenues. But there has been no expression on their side and we've certainly talked about it specifically in Paris, any interest in reducing their commitment to us. They continue to be a very supportive provider of seed capital for new services and I think importantly, our relationship with the US business that is subject of the spin will actually, in many ways, be much closer. There are two blocks down the street and the role we can play in there or our combined business activities is relatively more significant. So it's too early to determine whether there's meaningful growth there, but I would certainly say to you that we have no expectation that they'll be diminished and their commitment to us as a client as a consequence of this transaction.
Operator: Your next question comes from the line of Craig Siegenthaler from Credit Suisse. Your line is open.
Craig Siegenthaler: Asian retail sales activity can be quite volatile, especially in the retail channel. And we've actually seen this experience in your own results over the last few years. Can you just comment on how sustainable that current organic growth is and also are the sources generally broad based and diverse across both geography and distribution platforms.
Seth Bernstein: Well, let me start and I'm going to turn it over I think to Jim to help me on this, because I am new, although I was just in Taiwan and Hong Kong and Tokyo a couple of weeks ago and it's an incredibly impressive business just to see in person. You're absolutely right. We have credit products that have been very volatile for the industry in general and they've been volatile for us. But what is really encouraging is the mix of the business that we're beginning to sell is widening. I mentioned earlier our multi asset businesses are diversified, our discretionary investment management product as well as emerging markets, multi-asset or MA as I affectionately call it, have both really seen strong gains in revenues. And as you know, multi-asset products tend to be stickier in their persistence than other products. But Jim, perhaps you might want to add?
Jim Gingrich: No. I think you're capturing it well, Seth. I think we tend to look at how that part of the world trends over the long haul rather than quarter-to-quarter, because as you said Craig, on a quarter-to-quarter basis, the numbers can be, you can see significant moves one way or the other. But the long term trend and if you look at the growth that we've had broadly in that region over the long term, it's been quite positive. I would say, as Seth just noted, if you look at our year-to-date results in the region, it’s quite different than it was five or six years ago where if you looked at that part of the world five or six years ago, our AUM and our gross sales and our flows were largely concentrated in two funds, that being our global high yield fund and our American income fund. Those are still two very important funds, but if I look at gross sales year-to-date in that region, nearly half of the sales are coming from equities, multi-asset products or other fixed income products rather than those two funds. So it's our ability to broaden out and diversify our participation in the region is really encouraging and so that's also a major contributor to what you're seeing year-to-date.
Craig Siegenthaler: And as my follow-up, I just wanted to dive a little deeper into MiFID II, do you expect to see any spillover in either the US or Asia as buy side firms adopt pricing disclosures of best practice and also how is AB’s agency trading business prepared to compete as a standalone business, if it has to compete separate from research.
John Weisenseel: Look, I think I'm going to punt a little bit on that question, Craig because I think that anticipating how this regulatory change is going to ultimately impact the industry as it is a little tough, I do think just echoing what Seth said that we're remarkably well positioned. The trading platform that you just mentioned is among the largest counterparties for the largest asset managers in the world, which I think speaks to their respect for that trading platform. It is a unique and very differentiated platform and it's reflected in some of the survey results that Seth also mentioned. So I have a hard time seeing folks wanting to back away from the type of capability because they're making that choice and it includes investors who are, let's call it, quantitative or passive in nature that are making that choice strictly based on the quality of the trading execution that they get.
Seth Bernstein: I think Craig it is right that different firms are going to take different positions with respect to the application of MiFID in different regions. And so I think we've spoken to a number of them and most of them are still debating. What they do? A number of them come down and said, they will restrict it to Europe where it's relevant and others have said other -- have been thinking otherwise. So I think it's an open question, Craig on what the flowback effects or blowback affects could potentially be.
Operator: Your next question comes from the line of Michael Carrier from Bank of America.
Michael Carrier: Hey, Seth. Maybe first one, just given that you've been there a few months, just wanted to get your view on the institutional side, how have some of the conversations been going, you just given some of the turnover and the changes. And then on the strategic [Technical Difficulty] conversations been going, you’ve just given some of the turnover and the changes. And then on the strategic side?
Seth Bernstein: I’m answering the first part of the question. But with respect to the future, I think when Peter and the management team were looking at this business post the financial crisis, they had to make some really fundamental decisions on where to build capabilities and how to fund it. And in my view, looking at it from the outside, they took a bold gesture to rebuild and create new services, both in alternatives and in equities and we're at the point now I think where those investments are beginning to come to fruition. Indeed from my perspective, the challenge the firm has in my opinion is that we probably have more sellable services than we have the ability to sell them at the moment and we funded a lot of that growth and managing the broader business through the distribution side of the shop over those prior years. And so we really need to continue the investments that Peter and Jim were making on the distribution side to give us the incremental capabilities, both in Europe, here in the United States from a retail perspective to follow through on that. So I'm, at this point, I think we have a product set without major holes that need to be filled. And so our focus at this point I think is blocking and tackling. So let me just stop there.
Michael Carrier: And then just real quick on performance fees, just given that it came in fairly healthy this quarter, is there anything on the outlook and I think you mentioned the performance fee, funds, just any timing I guess on those.
Seth Bernstein: Well, let me answer the second part on the timing of the performance fee based funds, they are seeded. We look to start up activity in earnest through the course of the -- toward the end of this year. We've had very good reception from our critical partners, but with regard to performance fee outlook, I'd like to just turn it over the John.
John Weisenseel: Sure. So, Michael, it's John. Just with regards to the performance fee funds, we wouldn’t be looking to realize any material performance fees from those in the short term, because keep in mind we have to launch them, they have to garner AUM and we have to perform. But just in terms of the, our typical portfolio, as we’ve talked about in the past, the biggest quarters are always the second quarter and the fourth quarter, because for the funds that are on annual calculation periods, we had the select Alpha fund, which ended in May. That has always had the potential to contribute big as it did this quarter, did not last year because the markets were down. And then also always, the fourth quarter is always large as well, because we have things like securitized assets and a couple of other funds that will actually hit at that point in time as well. The other thing we should talk about is briefly here, is the LP structures, because we have real estate equity funds that are in LP structures. We have middle market lending, private credit structures and LP structures. Those structures, we cannot, under the current accounting, actually recognize the performance fees and revenue until the actual fund is either wound up or very close to being wound up and that there can be no chance that those performance fees can be called back. So we actually today that we disclosed this in the Q, but we actually have deferred revenue relating to performance fees on our balance sheet currently at about $73 million and we have offsetting compensation expense that when we realize those revenues will have to book at about 33 million. So there's about 40 million of operating income that’s just sitting there deferred on the balance sheet. And so the point where we actually sell more of the properties in these funds move towards the closure of these funds and get to the point where we actually got that cash, we were able to take that cash out of the fund, but we have been able to recognize it through our P&L. Some of these may get a bit easier next year, because the accounting recognition becomes a bit easier on this, but it's still not a slam dunk. You still have to pass these tests, where you look at the properties to the left or the bonds to the left in the portfolio and if you were to liquidate them at basically zero prices, there has to be kind of a very low probability they could call back those performance fees. So this is just, as we talked about these businesses getting to scale, this is how you're starting to see it, you’re starting to see these deferred P&L on the balance sheet that at some point will work its way through the P&L.
Operator: Your next question comes from the line of Rob Lee from KBW. Your line is open.
Rob Lee: Just maybe a follow-up to an earlier question, again, understanding that it's three months in, so still getting your arms around things, but could you maybe, I mean the private wealth business I guess would be a business that maybe little near and dear to your heart to some degree and business has clearly turned around. So number one, if you look at that business, how do you, at this point, think about further opportunities to other accelerated growth there or do you see any need to kind of change or make some changes there to accelerate growth, just kind of how do you think about the positioning?
Seth Bernstein: It is a business near and dear to my heart. And I've been a client of it for, I guess, 15 years. So I speak as a client as well in this regard. And I’d tell you that AB has a really distinctive proposition in a world where open architecture has become the rule, rather than the exception in the way portfolios are built. And having seen it from both perspectives and recognizing as well I think as most people, the merits of each, I'd say that the portfolio construction of what we're creating for clients has a consistency and an integrity which others really can't match because we’ve recognized what’s best are embedded in each of the services that build out that portfolio and that is an unusual benefit. But it doesn't appeal necessarily to everybody and we recognize that. And -- but it is the cornerstone of what we do. It doesn't mean however that all of the services we provide to our private clients need to be managed in house and indeed we do offer third-party services selectively to fill out areas where we don't necessarily have those capabilities in house. We need to continue to focus on that and build out a suite that is really compelling to our clients and that days. I think our challenge is less in convincing people about the quality of our services, particularly when clients are aware of our -- how cognizant we are of tax planning and how important that is in building after tax returns, something I think many of our competitors are less focused on. But rather our ability to accelerate growth in the number of days we have in the field, that has proven more challenging to us than I think we had originally anticipated and we have to continue thinking about that, but the quality of the FAs is critical, we can't compromise on that. We have our own distinctive way of developing them and we will be methodical in building out our reach within the markets we currently are and those adjacent to where we are. So let me stop there, but I think they clearly have a bright future.
Rob Lee: And maybe as a follow-up, I'm just curious, if I look at many of the alternative strategies in real estate, direct lending and others, I think as you mentioned, they've been really focused -- distributed predominantly through the private client channel, but why not bring those to the broader institutional market. There is obviously strong demand out there. Is it just trying to control capacity or I mean why not kind of broaden the client base there?
Seth Bernstein: I'm going to pass it over to Jim for the specifics of it.
Jim Gingrich: I would say you're right on both counts in the sense that in many cases, those strategies were initially successful in our private wealth business. But as we noted earlier, just as an example of the largest addition to our institutional pipeline this quarter was in commercial real estate, which is one of those alternative services. So we are -- and over the years, we've been successful in our real estate equity business in terms of raising money and the like. So I think what you're going to see in the institutional space is an increasing diversification of those alternatives as well as everything else that we've done. I was looking at, if I look at gross sales this quarter in institutional, we’ve talked about the pipeline, but I think that like the first of the largest items only to our, in our fixed income business, the other dozen fall into multi-asset alternative business or equities.
Rob Lee: And maybe just a quick, more of an accounting follow-up, but of the 5.5 billion of commitments in the alternative strategies, is that in -- are those fee paying at this point or are those all kind of in drawdown funds that’s kind of as you deploy that 5.5 billion kind of flow in over time.
John Weisenseel: As it is deployed, that would be that committed capital, but as they're drawn down and put to work, that's when the fees would kick in.
Operator: [Operator Instructions] Your next question comes from the line of William Katz from Citigroup. Your line is open.
William Katz: Sort of a tactical question. Within the private client balances, can you give me a sense of what percentage is in cash and can you talk a little bit about what if any revenue sharing you might have as, to the extent rates would continue to rise.
John Weisenseel: This is John. As far as what percentage of the 70 odd billion is cash, we really would not disclose that. And I'm sorry, your second question again.
William Katz: In the possibility type of dynamic or revenue share, just trying to think about, I guess what I'm trying to triangulate toward is given interest income was a much bigger number than we anticipated on the revenue side, so just sort of thinking about that, just sort of presumed that maybe there was a bit more cash in the private client business and given where rates are, just trying to get a sense of sensitivity to that line item going forward?
John Weisenseel: Great question. And that’s, in my prepared remarks, I was trying to address this and I apologize if it wasn't clear. So you're absolutely right that we did have dividend and interest and the other revenue line was up about $4 million and that's on the broker dealer investments. We also have that interest expense line in the P&L as well and that's the actual interest that we're paying the private clients who are keeping cash balances at the broker dealer and that also went up 4 million. So you can see, there is somewhat of an offset there. Typically what would happen in a rising rate environment, sometimes, the expense will lag the revenue side. So we may see a bit of a bump in the revenue before we actually realize the expense in terms of raising the rates that we're actually paying on those, on those client balances, but what you're seeing this quarter is that there's pretty much an offset.
Seth Bernstein: But over time, it's largely going to be a wash, Bill.
Operator: There are no further questions at this time. I turn the call back over to Ms. Prochniak.
Andrea Prochniak: Thank you everyone for participating in our conference call today. If you have any follow-ups, AB investor relations will be available all day. Thanks very much.
Operator: This concludes today's conference call. You may now disconnect.